Operator: Good day, and welcome to PrairieSky Royalty Limited announced their second quarter 2025 financial results. [Operator Instructions]. As a reminder, this call may be recorded. I would now like to turn the call over to Andrew Phillips, President and CEO. Please go ahead.
Andrew M. Phillips: Thank you, Michelle. Good morning, everyone, and thank you for dialing into the PrairieSky Royalty Q2 2025 Earnings Call. On the call from PSK are Pam Kazeil, CFO; Dan Bertram, COO; Mike Murphy, VP, Capital Markets; and myself, Andrew Phillips. Before we begin, there is certain forward-looking information and statements in our commentary. So I would ask listeners and investors to review the forward-looking statements qualified in our press release and MD&A, which can be found on our website. PrairieSky achieved record royalty oil production of 14,376 barrels per day, up 8% from the same quarter the year before. In 2018, for reference, PrairieSky had 235 million shares outstanding and produced 9,000 net royalty oil barrels. Today, with the same 235 million shares outstanding, we have 14,000 net royalty oil barrels, an excellent result. We now have 3 plays with strong growth rates and decades of inventory. The Clearwater is now over 2,500 barrels per day. The Mannville stack is approaching 1,000 barrels per day and the Duvernay with strong spud count should double this year, adding high netback light oil barrels. In Southern Alberta, a number of new discoveries have been made in the Basal Quartz formation. This is a light oil play with liquids-rich solution gas. Payouts on the play are fast, so we expect continued activity on the play. PrairieSky has a very large mineral position with complementary 3D ownership. Ownership of mineral title provides investors with optionality across the basin. A number of small-scale SAGD projects will also be built on PrairieSky acreage over the next 10 years, adding long-duration oil projects to our reserves and cash flow stream. Finally, PrairieSky has a massive gas -- natural gas royalty resource. And in spite of the very weak pricing, volumes remain stable. Our expectation is for the volumes to show some growth in 2026. I'll now turn the call over to Mike.
Michael Murphy: Thanks, Andrew. We saw a similar level of drilling activity relative to last year with 117 spuds in Q2 2025 versus 115 in Q2 2024. We had 61 multilateral spuds in the quarter, representing 52% of all new wells, which is a new high watermark for proportion of multilateral spuds in the quarter. Multilaterals were focused in the Clearwater with 47 wells spud, but also included wells targeting Mannville heavy oil and Mississippian light oil in Southeast Saskatchewan. We are also seeing a high pace of development in the Duvernay light oil play with 14 wells spud in the quarter and 30 spud year-to- date relative to 33 spud in all of 2024. We are encouraged by step change improvements in initial well productivity in the Duvernay oil window in the West Shale Basin and expect improved half cycle economics to drive meaningful growth programs for third-party operators in this region moving forward, positively impacting our royalty oil volumes. I'll now pass it over to Pam to discuss the financials.
Pamela P. Kazeil: Thank you, Mike. Good morning, everyone. Royalty production revenue totaled $111.2 million in Q2 2025, driven by our record 14,376 barrels per day of oil production, which generated $95.7 million of revenue. Natural gas and NGL revenue added $15.5 million on relatively flat volumes compared to Q2 2024. We generated an incremental $12.4 million of other revenues, which included bonus consideration of $8.5 million from entering into 47 new leases with 37 different counterparties. During the quarter, PrairieSky's funds from operations totaled $96.7 million or $0.41 per share. We declared dividends of $61.2 million, $0.26 per share, with a resulting payout ratio of 63%. Excess funds from operations were used to acquire incremental royalty interest totaling $6.5 million, primarily targeting Mannville Oil, and we repurchased and canceled $2 million worth of stock. We continue to purchase shares under our automatic share purchase plan throughout blackout, committed to spend an incremental $11 million. PrairieSky exited the quarter with net debt of $242 million. Subsequent to quarter end, we also exercised the accordion feature of our credit facility, increasing it by $250 million to $600 million. Increasing the facility provides us with incremental liquidity and financial flexibility. We will now turn it over to the moderator to proceed with the Q&A.
Operator: [Operator Instructions]. I'm not showing any questions at this time. I'd like to turn the call back over to Andrew Phillips.
Andrew M. Phillips: Well, thank you very much for dialing into the PrairieSky Q2 conference call. And please feel free to call Pam, Mike or myself with any questions. And I guess printing right after stampedes keeps the question count low. I hope everyone has a great day.
Operator: Thank you for your participation. This does conclude the program, and you may now disconnect. Everyone, have a great day.